Operator: Ladies and gentlemen, thank you for standing by and welcome to the BigCommerce third quarter 2023 earnings call. At this time, all participants are in listen-only mode. After the speakers’ presentation, there will be a question and answer session. Please be advised that today’s conference is being recorded. I would like now to turn the conference over to your first speaker today, Tyler Duncan, Senior Director of Finance. You may begin.
Tyler Duncan: Good morning and welcome to BigCommerce's third quarter 2023 earnings call. We will be discussing the results announced in our press release issued before today's market open. With me are BigCommerce's CEO and Chairman, Brent Bellm, and CFO, Daniel Lentz.  Today's call will contain certain forward-looking statements which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include statements concerning financial and business trends, our expected future business and financial performance and financial condition, and our guidance for the fourth quarter of 2023 and the full year 2023. These statements can be identified by words such as expect, anticipate, intend, plan, believe, seek, committed, will, or similar words. These statements reflect our views as of today only and should not be relied upon as representing our views at any subsequent date, and we do not undertake any duty to update these statements.  Forward-looking statements by their nature address matters that are subject to risks and uncertainties that could cause actual results to differ materially from expectations. For a discussion of the material risks and other important factors that could affect our actual results, please refer to the risks and other disclosures contained in our filings with the Securities and Exchange Commission.  During the call, we will also discuss certain non-GAAP financial measures which are not prepared in accordance with generally accepted accounting principles. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures, as well as how we define these metrics and other metrics, is included in our earnings press release which has been furnished to the SEC and is available on our website at investors.bigcommerce.com.  With that, let me turn the call over to Brent.
Brent Bellm: Thanks Tyler, and thanks everyone for joining us.  I’ll start today by discussing our quarterly performance and the progress we have made against our 2023 financial plan. I will speak to our business momentum and provide an updated view on the macroeconomic environment, and I’ll conclude by discussing our continued move up market and the associated improvements to our go-to-market approach. Daniel will later provide details on our financial performance and spending efficiencies related to the restructuring we announced earlier this morning. Finally, he will end our prepared remarks with an updated view on 2023 financial guidance and provide a first look at our expected financial plans for 2024.  In Q3, total revenue was just over $78 million, up 8% year-over-year. Our Q3 non-GAAP operating loss was just over $1 million, which was well ahead of our quarterly guidance and reflects the significant progress we have achieved in operating efficiency over the last several quarters. We came within a photo finish of hitting adjusted EBITDA breakeven a quarter earlier than expected, finishing Q3 at negative $102,000. This reflects a nearly 14.5 percentage point margin improvement in only one year against the backdrop of a tough macroeconomic climate for tech and software. We are committed to driving profitable growth for our shareholders, and I believe we are well positioned to move our business up market with a more efficient organization.  We concluded Q3 with an annual revenue run rate, or ARR of approximately $332 million, up 9% year-over-year. That represents a sequential growth in ARR of just over $1 million. Enterprise account ARR was approximately $241 million, up 11% year-over-year. As of the end of Q3, enterprise accounts represent 72% of our total company ARR. Accounts using exclusively our retail plans, which we refer to as non-enterprise accounts, finished with ARR of approximately $92 million, up 3% year-over-year.  Q3 reflected both the progress we have made as a business and some of the challenges that we continue to face in this macro environment. Overall revenue growth and non-enterprise ARR growth were in line with our expectations, and we were pleased to nearly reach our adjusted EBITDA breakeven goal one quarter early.  Enterprise ARR growth fell a little short of our expectations. We continue to see longer sales cycle times and a tougher sales climate across software, while certain significant new customers elected to move launches post holiday into Q1 2024. I will speak both to these macro dynamics and actions we are taking to improve go-to-market and financial performance later in my remarks.  Our customers are at the heart of everything we do. We work extremely hard to deliver an industry-leading platform that powers growth for the world’s most sophisticated and complex brands and retailers. Last week, we were honored with IDC’s 2023 SaaS Customer Satisfaction Award for Digital Commerce. This recognizes the high customer satisfaction that our product and service achieve. Gartner also named BigCommerce as a Challenger in the 2023 Gartner Magic Quadrant for Digital Commerce Platforms for the fourth consecutive year.  In September, we launched our new B2B edition invoice portal for large B2B suppliers, manufacturers, distributors and wholesalers to modernize the invoice payment process. The B2B edition invoice portal provides an enterprise-grade, out-of-the-box invoice payment experience. The new invoice portal serves as a vital B2B edition component of a comprehensive suite of functionality that enhances the online selling experience for B2B businesses.  A number of exciting new enterprise customers launched in Q3. Notable examples include Coldwater Creek, a leading U.S. women’s apparel retailer which launched a new ecommerce site with a modernized tech stack and elevated brand look. Iconic UK luxury fashion retailer, Harvey Nichols launched a new headless storefront with BigCommerce. Harvey Nichols’ digital transformation improves customer experience, loyalty program integration, and inventory visibility for shipping and in-store pickup. Asahi Beverages, a leading Australian beverage company, launched two new websites on BigCommerce. Club Connect uses our B2B edition product to allow sports clubs to register and purchase beverages and earn credit to be redeemed against future purchases or withdrawn as cash. Drinks Cart is a platform for company staff, friends and family to purchase Asahi Beverages products at a reduced price or by redeeming points.  Leading U.K. fashion and apparel brand, White Stuff launched a new composable site leveraging BigCommerce partners Vue Storefront, Amplience and Adyen. We also added several new customers to the Feedonomics roster, including The Dom, Vista Outdoors, LG, Skullcandy, and Build-A-Bear. This sample of recent customer wins, product announcements, and industry recognition reflect the strength and differentiation of our open SaaS strategy.  We aim to deliver our brand promise of enterprise ecommerce simplified. Our agency and tech partner ecosystem widely agrees that, unlike BigCommerce, competing enterprise platforms aren’t simple and competing simple platforms aren’t enterprise. BigCommerce combines true enterprise functionality and flexibility with unprecedented simplicity.  We are differentiated in five key ecommerce imperatives in which we believe BigCommerce possesses industry-leading capabilities. Engage, the first imperative, describes how we enable customers to create compelling, brand-enhancing digital experiences for their consumers. As a leader in both composable commerce and no- and low-code fully hosted commerce, we offer the unique capability to create great user experiences leveraging both build models in the same multi-storefront account. In Q3 across all enterprise stores using our hosted Stencil platform, checkout, and flagship payment processors, our customers’ site-wide conversion rate averaged 2.69%, which is 34% higher than the Q3 internet average, according to IRP Commerce. Simply put, BigCommerce enterprise customers create and design beautiful sites that on average significantly outperform their competition. Attract, the second imperative, describes how our subsidiary, Feedonomics enables customers to attract incremental site traffic and sales through the world’s leading advertising and marketplace channels. On average, Feedonomics customers report a 10% to 20% increase in traffic, conversion and sales from the channels used, including search, social, display, affiliate, and more than 180 marketplaces. No other enterprise platform has a comparable offering to substantially improve top line sales and marketing return on ad spend.  Convert, the third imperative, demonstrates our ability to convert shoppers. In Q3, site-wide checkout conversion for enterprise customers using our native checkout and flagship payment processors averaged 61.4%. That 61% checkout conversion is substantially better than claims made by one of our largest competitors. We deliver higher checkout conversion due to an optimized one-page experience, choice of best in market payment providers, optimal integrations, and unmatched customization capabilities for a SaaS platform. For B2B conversion, our B2B buyer portal and recently released invoice portal further extend the capabilities that are widely being rated among the best in B2B ecommerce by IDC, Forrester, Paradigm, and G2.  Expand, the fourth imperative, focuses on our multi storefront capabilities. We make it easier than ever to grow from one to many storefronts as companies add new branded sites, geographies, and/or segments like B2B plus B2C. Taken to an extreme, our commerce-as-a-service offering even allows customers and partners to serve dozens or hundreds of different stores.  Finally Operate, our fifth imperative, describes the performance, cost, and efficiency advantages of operating on BigCommerce. In a recent Total Economic Impact report, Forrester Research quantified an average 90% reduction in development costs and 30% reduction in catalog and merchandising management costs relative to legacy enterprise platforms. With best-in-class reported uptime, scalability, and security certifications, we simplify the task of achieving world-class performance at low total cost of ownership.  To advance our leading capabilities in site design and user experience, we recently completed the acquisition of Makeswift, the world’s most powerful visual editor for Next.js websites. Makeswift will become an optional component of composable BigCommerce builds early next year and thereafter a part of our natively hosted visual editing toolkit. This is a strategic acquisition for our business that enables us to more fully deliver our promise: enterprise ecommerce, simplified.  Makeswift will bring to ecommerce unprecedented, true enterprise multi-user visual design, publishing, and no-code editing. Built for Next.js, Makeswift gives developers the ability to construct and deploy custom React components that push the boundaries of dynamic shopper experience and make any component visually editable. It also makes advanced editing accessible to marketers and merchandisers without code, including animations and optimizations for every device type.  The combination of Next.js, React, and Makeswift powers native Google Lighthouse scores of 99 to 100 out of the box. Makeswift is fully composable, so it can integrate with leading content management systems to power site content, and it will remain available for purchase directly, including for customers on competing ecommerce platforms. With unprecedented visual editing, collaboration, publishing and performance capabilities, BigCommerce with Makeswift is the future of no-code enterprise ecommerce visual design.  I am encouraged by the financial and strategic progress we have made in our business this year despite macroeconomic headwinds. I’d now like to share a bit more detail on where those headwinds have been felt and why I have such confidence that we can return to stronger, accelerating growth rates. Broadly speaking, I will classify impacts to, first, online consumer spending, and second, business spending and investment.  We have seen continued tighter ecommerce order and GMV growth in 2023 than the pre-pandemic trend line. This has led to fewer orders and GMV-based pricing upgrades compared to prior years, and it has impacted partner and services revenue growth more than originally anticipated going into the year. We have also seen the effect of a tight business spending environment.  As we discussed on our Q2 call, we have experienced an uptick in existing customers seeking to reduce committed order volumes in exchange for lower pricing. In many cases, we have pursued the same approach ourselves at BigCommerce by renegotiating and reducing our software vendor opex costs. In most downgrades, we are successfully retaining customers while negotiating more favorable prepayment and price per order terms.  Some smaller customers have chosen to delay or cancel projects as a result of macro conditions. Customers are spending more time vetting and evaluating platform investments, and these factors have contributed to enterprise ARR not ramping as quickly as we’d hoped during 2023. I have confidence that this business can return to 20%-plus revenue growth and reach a healthy and balanced profitable growth profile as we drive better go-to-market execution and ecommerce settles into a new long term growth trend line.  My intent in providing this commentary is not to attribute performance solely to macro conditions. Ultimately, we are responsible for results, no matter the economic conditions. We have much to be proud of in 2023, particularly with respect to improvements in profitability and cash flow, but we have not achieved our full growth potential and we are laser focused on the improvements that can get us there.  Leading our go-to-market improvements is our recently hired President, Steven Chung. The foundation for Steven’s growth strategy is the success and satisfaction of existing customers. Their success earns the right to expand account relationships, yielding higher net revenue retention, cross-sell and up-sell, and industry evangelization. Steven and team are focused on three proven growth strategies: first, land and expand, where we grow over time the depth and breadth of our relationship with our successful midmarket and enterprise customers; second, multi-product sales that leverage Feedonomics, Makeswift, partner product cross-sell, and new add-on products; third, improved efficiency of our international expansion.  We have arguably been over-indexed historically on new customer acquisition driven by expenditures in digital marketing and sales. Over the last four years, approximately 60% to 70% of subscription ARR expansion has come from acquisition of new customers, with the remaining 30% to 40% coming from expansion of existing accounts. We would like to change this mix in favor of existing account expansion. Greater attention to the success and satisfaction of signed accounts will enable us to expand relationships to incorporate new brands, geographies, customer segments, and business models. This account growth model has the highest relevance to our enterprise customers and can deliver continued improvement in net revenue retention and profitability.  To be clear, this account expansion growth model does not lessen our commitment to our small business customers. We will continue to support our small business customers with an efficient, digital-first engagement model. We remain the industry’s best platform for fast growing and sophisticated small businesses that require more flexibility and product capabilities. These customers in many cases evolve into strong enterprise accounts as their businesses grow with BigCommerce.  Next, I’d like to turn it over to Daniel to discuss our financial results in more detail and conclude with our updated guidance for Q4 and 2023.
Daniel Lentz: Thanks Brent, and thank you everyone for joining us today. During my prepared remarks, I will cover our Q3 results in detail, provide additional detail on our progress for the year, both where we are showing strengthening trends and where we need to improve, and provide updated guidance for the remainder of the year.  In Q3, total revenue was just above $78 million, up 8% year-over-year. Subscription revenue grew 10% year-over-year to approximately $59 million, while partner and services revenue, or PSR was up 1% year-over-year to just over $19 million. Revenue in all of the Americas was up 7% while EMEA revenue grew 23% and APAC revenue was up 2% compared to prior year.  As Brent mentioned previously, we came within a photo finish of adjusted EBITDA breakeven a quarter earlier than previously anticipated, finishing Q3 at negative $102,000, or negative 0.1% adjusted EBITDA margin - that represents a 313 basis point improvement to adjusted EBITDA margin quarter-over-quarter, and we have improved adjusted EBITDA margins 375 basis points on average over each of the past five consecutive quarters.  We have also made significant progress on earnings and revenue quality over the last year. This is the third quarter in a row that we have seen notable improvement in deferred revenue. Deferred revenue increased $3 million sequentially compared to Q2 2023 and is up 85% compared to Q3 2022.  We have also seen significant improvement in working capital. Prepayment levels are roughly three times higher as a percentage of subscription ARR compared to Q3 2022, and provision for expected credit losses has realized a year-over-year improvement of $5.5 million versus Q3 2022, or an improvement of 302 basis points as a percentage of account receivable over that time period. This progress is continued evidence of our commitment and focus to operating a profitable long term growth business and is evident in the underlying improvement to our operating cash flow as well.  I’ll now review our non-GAAP KPIs. Our ARR grew to approximately $332 million, up 9% year-over-year - that represents a sequential growth in total ARR of just over $1 million. Enterprise account ARR was approximately $241 million, up 11% year-over-year. Subscription ARR was up $1 million or 0.4% versus Q2 and up 10% year-over-year.  At the end of Q3, we reported 5,951 enterprise accounts, up 391 accounts or 7% year-over-year. ARPA, or average revenue per account for enterprise accounts was $40,431, up 4% year-over-year.  I’ll now shift to the expense portion of the statement of operations. As a reminder, unless otherwise stated, all references to our expenses, operating results and per-share amounts are on a non-GAAP basis.  Q3 total cost of revenue was $17.7 million, up approximately $265,000 sequentially from Q2. Q3 total operating expenses were $61.5 million, also up approximately $178,000 sequentially from Q2. Q3 gross margin was 77%, essentially flat versus the previous year, while gross profit was $60.3 million, up 8% year-over-year.  In Q3, sales and marketing expenses totaled $32.6 million, down approximately $92,000 year-over-year. This represented 42% of revenue, down 339 basis points from a year ago. Research and development expenses were $17.6 million or 23% of revenue, down 386 basis points from a year ago and down slightly from Q2. General and administrative expenses were $11.3 million or 14% of revenue, down 710 basis points from a year ago.  In Q3, we reported an operating loss of $1.2 million, a negative 1.5% operating margin. This compares with an operating loss of $11.5 million or a negative 15.9% operating margin in the prior year, and an operating loss of $3.4 million or a negative 4.5% operating margin in the prior quarter. Again, adjusted EBITDA was negative $102,000 and a negative 0.1% adjusted EBITDA margin compared to negative $10.5 million and a negative 14.5% adjusted EBITDA margin in the prior year. Non-GAAP net income for Q3 was $686,000 or positive $0.01 per share, compared to negative $11.2 million or negative $0.15 per share last year.  We ended Q3 with approximately $266 million in cash, cash equivalents, restricted cash, and marketable securities. For the three months ended September 30, 2023, operating cash flow was negative $31.4 million, compared to negative $50.8 million a year ago. We reported free cash flow of negative $32.5 million, which compares to negative $51.5 million in Q3 2022. Note that excluding the approximately $33 million final payment for the Feedonomics acquisition, operating cash flow would have been positive in Q3. Results also included certain significant annual payments, such as $4 million in insurance premiums including our D&O, cyber and EPL policies.  I’d now like to address the progress made against our 2023 financial plan, share additional details on our acquisition of Makeswift and our restructuring, and conclude with an updated view on guidance.  Once again, our 2023 plan has three primary goals. Let me elaborate on the progress and challenges we have seen thus far on each. First, we are investing to win in the mid market and enterprise markets while also stabilizing the small business portion of our business. As I said last quarter, small business has been performing ahead of our expectations and we remain confident that business will remain healthy and build many future enterprise accounts for us as well. We have not, however, seen the ramp in mid market and enterprise that we wanted to see by this point in the year.  Despite the headwinds Brent addressed in his remarks, sales pipelines remain healthy and win rates remain strong. We continue to make significant improvements to the quality of our results and are seeing encouraging improvements in DSO and deferred revenue. Additionally, we are taking decisive action to ensure our business wins up market while delivering the spending efficiency we require for success. We are confident these actions will improve both the pace of growth in this portion of the business and the return on investment of our go-to-market spending, even in a continued challenging macroeconomic climate.  Second, we nearly hit our goal of positive adjusted EBITDA a full quarter early, finishing at negative $102,000 in Q3 2023. Operating expenses are down 9% year-over-year. That reflects an improvement of 1,442 basis points of adjusted EBITDA margin in just one year, and we have averaged a sequential improvement of 375 basis points of operating margin over the last five quarters. As a result of the restructuring announced today, we also anticipate continued margin improvement in Q4 2023 and beyond, which I will discuss in further detail shortly.  Third, we are taking steps to drive healthy, consistent cash flow generation. As I have mentioned previously, we have focused on driving cash flow improvements through prioritizing advanced billing on new subscriptions, investing in our quote to cash systems and processes, maintaining tight discipline around accounts receivable and collections, and adjusting prices. I am very encouraged by our progress in this area, as I highlighted earlier, in many of the ways the improvement in revenue and earnings quality is evident in our financial results.  As a part of our effort to drive improved results and evolve our go-to-market approach, today we announced a restructuring that affects approximately 7% of our global workforce. While headcount and non-headcount reductions impact all teams across the company, sales and marketing spending will see the largest impact as a result of the go-to-market improvement Brent discussed.  Q3 2023 results include a one-time charge of $5.5 million resulting from severance and other related charges. We also expect associated one-time operating cash flow impacts of approximately $3.1 million in Q4 2023 and $2.1 million in fiscal year 2024, respectively. This was an incredibly difficult decision for Brent and I to make, and this affects many outstanding teammates that have made significant contributions to our business. We are confident, however, that this action best positions BigCommerce for continued profitable growth heading into 2024, even in the prospect of continued macroeconomic challenges.  Finally, we acquired Makeswift, a visual no-code builder for Next.js which makes any React component visually editable. We believe Makeswift will help propel BigCommerce forward competitively in site design and user experience. The purchase price of approximately $9 million in cash will be reflected in Q4 2023 cash flow results and will not have a material impact to financial results in Q4.  I’ll now share an updated view on our outlook and guidance for the fourth quarter and full year 2023.  For the fourth quarter, we expect total revenue in the range of $79.8 million to $83.8 million, implying a year-over-year growth rate of 10% to 16%. For the full year 2023, we expect total revenue between $305 million to $309 million, translating to a year-over-year growth rate of approximately 9% to 11%. For Q4, our non-GAAP operating income is expected to be between $1.1 million and $4.1 million.  For the full year, we expect a non-GAAP operating loss between $6.9 million and $9.9 million. Note that at the midpoint, we are holding our full year revenue outlook in line with prior guidance while also reflecting our positive momentum in an improved operating loss outlook for the full year.  I would now like to conclude my remarks by briefly summarizing where we see the business in 2024 and how we are building our operating plans and budgets. We are basing our plans on the assumption that macroeconomic conditions remain a headwind in ecommerce. These conditions make it imperative to run lean from a spending perspective so that we can capitalize on the opportunity this environment presents for our business. We will continue to prioritize profitable revenue growth and improving cash flows. We will not chase marginally higher growth rates at an outsized cost to profit and cash. Our recent actions to reduce costs improve our profitability and cash flow at a faster rate, while we remain positioned for a jump forward in growth and profit as macroeconomic conditions return to long term ecommerce trend lines.  While we are still in the early stages of building our 2024 plans, I would like to share some high level thoughts on financial expectations before we issue official guidance on our Q4 call in February. From a revenue growth perspective, we are building internal plans around growth rates in the high single digits to low double digits. As discussed, we expect to see a continued meaningful uplift in operating margins in Q4 2023, as reflected in our guidance range for the quarter. We expect that improvement to carry forward into Q1 2024 as well with operating margins continuing to grow at a slightly more moderate pace sequentially throughout the rest of the year. We also expect to see operating cash flow results track ahead of underlying non-GAAP operating income results, apart from relatively small one-time items such as the Makeswift acquisition and modest investments in our go-to-market systems and data architecture. I am confident in the long term growth prospects for this business.  Without doubt, 2023 has been a challenging year both for BigCommerce and the broader global economy. We have made significant progress improving the profitability and cash generation of this business, and I would like to give a sincere thank you for the tremendous hard work required of our entire BigCommerce team that was needed to deliver that. We have much to be proud of, yet we are far from reaching our potential. We can and will drive improved revenue growth in this business, and we will do so profitably for our shareholders.  With that, Brent and I are happy to take any of your questions. Operator?
Operator: We will now begin the question and answer session. [Operator instructions] Our first question comes from Terry Tillman of Truist Securities. Please go ahead.
Connor Passarella: Great, good morning guys. This is Connor Passarella on for Terry. Appreciate you taking the questions.  First, just wanted to kind of dig into some of the revenue trends for next year. Really appreciate the high level color there, Daniel. Curious in particular on PSR, some of the visibility into next year, maybe some puts and takes around the drivers of this number, and then maybe how the partner ecosystem is kind of progressing there and if there’s any emerging partners that are helping the business on this side.
Daniel Lentz: Yes, I’ll speak to the trends, and then Brent can take the question about the partner ecosystem. I would say similar growth rates to what we outlined in the prepared remarks between subscription and PSR. We’re encouraged by what’s going on there but, again, we’re going to take a little bit of a conservative outlook there, just based on where macro trends are going and heading into next year. We also have a long way to go before we finalize our plans for next year, and we’ll have a lot more to share on that when we get to our call in February.
Brent Bellm: In terms of the partner categories where we’re seeing lots of great traction, both in what we’re doing strategically with partners as well as what it can mean for PSR, the foundations have always been payments partners, including both all the leading ones in North America, Australia, New Zealand and EMEA, as well as traditional banks and fintechs, shipping and fulfillment partners, ERP partners are growing very substantially with us thanks in part to our leadership capabilities in B2B, and then everything around composable and composable infrastructure like search, content management systems, and even potentially hosting partners for composable builds - those are fantastic categories for us. Then the final unlock that we’re looking forward to next year is the release of automated billing, where we can in essence add third party apps in billing when they are simple and subscription-based to the BigCommerce build, that’s analogous to how it works on your iPhone when you use an app there. The app billing almost always goes through ApplePay or I think comparably for Android phones, and that capability is in the final stages of development for us for beta release early next year. Thanks for the question.
Connor Passarella: Got it, that’s super helpful. Appreciate that. Maybe just one quick follow-up. You’ve got a lot of capability in the B2B suite this quarter with B2B invoice portal for enterprise. Just curious on what trends you’ve kind of been seeing in this market that’s giving you the confidence to keep investing there, and then maybe just from a broader perspective as you think about B2B increasingly becoming a bigger part of the story, maybe not just for BigCommerce, how should we think about that for merchants as well as they want to diversify their businesses and sell B2B into the future? Thanks guys.
Brent Bellm: Yes, the opportunity for us is incredible. Before BigCommerce as a SaaS platform really entered the B2B market a couple of years ago, the options available to industrial companies, B2B sellers were almost entirely on-premise software like Magento, with a generalized platform, or niche B2B specialist platforms that tended to be feature-light and quite expensive and cumbersome. The B2B world truly needed an open SaaS platform that brought all of the ease of use, low ownership costs, but most importantly built in modern user interfaces that could come from a B2C platform, and that’s what we have done. I would really highlight for praise our product and engineering leaders in B2B because their pace of innovation is really extraordinary. I think it’s the best in general ecommerce in B2B, and as well the problems and the way they’ve solved them, the actual usability of our buyer portal and our invoicing portal are exceptional and getting great feedback from the customers, many hundreds if not thousands who have adopted them so far. A final point is around B2B, of course it is in total sales roughly on par with B2C globally, but well behind in its adoption curve. Something like a third of all B2B sellers have yet to adopt ecommerce, and many of those who have, have adopted it rather sub-optimally, and when you just think of the potential for usability improvements for their customers, cost savings efficiency from when fully rolled out, there is a very bright future for B2B and we intend to be the leader in that. Thanks.
Connor Passarella: Thank you.
Operator: The next question comes from Clarke Jeffries from Piper Sandler. Please go ahead.
Clarke Jeffries: Hello, thank you for taking the question. Brent, you touched on the mix of ARR that has historically come from new customer acquisition versus up-sell. Wondering if you could maybe give us some insights to where you think you could get that percentage of ARR coming from up-sell in the near term, and if you could help us think about what is the main up-sell path you see for the revenue base today, the biggest opportunity or low-hanging fruit, is that Feedonomics or any other specific up-sell that seems to be the greatest opportunity near term? Then I have one follow-up for Daniel.
Brent Bellm: Great. Yes, we’re going to focus on both up-sell and cross-sell. Up-sell is when we start with an initial sale to a mid market or large enterprise customer for a single store implementation, and then get that live and successful, the merchant happy, and then explore other brands or sub-brands, other geographies and/or other customer use cases, like adding B2B to B2C. We have extraordinary competitive advantage in this area because of our native multi-storefront capabilities, where you can do any or all of those use cases on a single account, leveraging a common set of integrations, but then very modestly or significantly modifying the actual languages, currencies, user experiences, even integration partners as necessary across the different store fronts. That’s up-sell, and it has the greatest potential with mid market and enterprise customers, although we have also introduced and democratized that multi-storefront capability even for our SMB plans. Cross-sell is when we bring additional partner products, licensed products or owned products to those same accounts, so in the world of owned products, the really big ones are, of course, Feedonomics for omnichannel integrations into leading ad channels and marketplace channels, now Makeswift, the acquisition of which we just announced today, and then we have a number of other internal products related to insights and data management, etc. that we can also cross-sell. Licensed product are then partners products that we can resell at our own pricing and on our own paper, and then third party products, the number one way we get partner revenue is of course payments, followed by shipping, followed by really more than 1,000 apps and partners in our apps marketplace - I answered that question prior to this. But the cross-sell is looking to advise and assist our customers on the ecosystem of capabilities that are most conducive to their growth and profitability and helping them get on those in ways that grow their business and ours as well.
Clarke Jeffries: Perfect. Sounds like multiple ways to bring that percentage up, not just, say, the up-sell motion. Daniel, I wanted to ask if you could frame the opex growth after the restructuring. What will you be targeting in terms of opex growth, either sequentially or year-over-year on a like-for-like basis, or maybe said another way, what investment level are you planning for that high single digit or low double digit growth in revenue framework for next year?
Daniel Lentz: Yes, thanks for the question, Clarke. Let me answer that a bit by building on Brent’s point, because I think there’s a really important point to understand about our business and why we’re making this really a focus on cross-sell, up-sell. The fact that we have such a big percentage of our revenue growth coming from new customers, which comes with a higher cost of acquisition particularly in sales and marketing, part of where we’re looking to grow leverage in this business is by getting more in kind of the main strike zone of where B2B SaaS typically is, where more than half, and we’d like to see substantially more than half of our revenue growth come from existing customers, because it comes at a much more favorable sales and marketing leverage point of view.  When I think about what that means for us for opex next year, we’re hoping that we can get another up to 5 to 9 points of additional growth in operating margins next year - that’s what’s implied when we talked about the growth numbers for next year. When I step back and just think about the quarter as a whole, kind of the headline from my point of view on this, I think the quarter really reflects the commitment to leverage that we called out very clearly going into the year was going to be the main focus of our efforts this fiscal year.  Now, I’d highlight two areas in particular. One, apart from the roughly $33 million final acquisition payment to Feedonomics, which was in operating cash flow, we had positive operating cash flow for the second consecutive quarter, which is a huge improvement versus where we were last year. That also even includes several million dollars in annual payments for this and that, which is really, really strong. Secondly, we got to our profit goal roughly a quarter early, which is a 19-point improvement in operating margins compared to where we were just a little over a year ago, and to be clear, we’re not stopping there. The restructuring that we took, I think reflects the commitment, our ongoing commitment to this. This is not a 2023 thing. Brent and I are very, very committed to running a profitable, growing business with strong operating cash flows, and I think that we can continue to do that. When I look at operating expense growth, I think we’re going to see the most leverage going into next year particularly in sales and marketing. We’ve had really, I think solid results there in R&D and G&A this year, we want to see a little more as well next year. But based on the restructuring that we’ve taken and the playbook that Steven is very excited to lead, I think we’ll see especially disproportionate leverage growth next year in sales and marketing.
Clarke Jeffries: Really appreciate the color, thank you gentlemen.
Operator: The next question comes from Scott Berg from Needham & Company. Please go ahead.
Rob Morelli : Hey, this is Rob Morelli on for Scott Berg. Thanks for taking the questions. With 3Q results in mind, any commentary regarding the overall sales environment - you know, how did U.S. perform relative to international, and are you starting to see some of the benefits of your international go-to-market investments that you mentioned a couple of quarters ago? Thanks.
Brent Bellm: Yes, as is typical, you have certain regions of the world that over-perform in any given quarter and others that are not quite as strong. U.S. was solid, Asia Pacific was particularly strong last quarter, EMEA, it sort of differs from country to country. Overall, what we’re observing in the market is a continued high win rate for us. We have historically had high win rates relative to the average in ecommerce. We continue to have high win rates. The cycle time, though, for enterprise remains elongated, as we’ve commented in prior quarters. It’s elongated even slightly in mid market - hopefully that’s a temporary thing, but as a general rule, sales is going well. I think a thing I would emphasize is our broad set of go-to-market changes that Steven has introduced, which are around value marketing and selling rather than solution marketing and selling, and I went into details on many of our strong value statements in the prepared remarks. The land-and-expand strategy, the fixation of leadership with customer success as the foundation for all of that, and improved engagement of our referencible merchants in events and industry selling opportunities, all of that is meant to be strongly additive to where we are today, to build a much bigger pipeline. I think if we can build a much bigger pipeline and even just maintain our win rates, let alone grow them, then that will be a strong way to add big growth to our existing run rate in the year and years ahead. Thanks for the question.
Rob Morelli: Thank you, that’s all from me.
Operator: The next question comes from DJ Hynes of Canaccord. Please go ahead.
DJ Hynes: Hey guys. Brent, I have two questions for you. Look, I think we all know who the key enterprise players are in this space. I’m curious if you’re seeing Shopify starting to show up anymore in your mid market and enterprise RFPs. They’re obviously talking more about composable commerce and headless, so wondering if that’s translating to what you’re seeing in the field.
Brent Bellm: Less so for headless, yes for mid market. Enterprise, it just depends on the complexity. There are a lot of things that they can’t do in enterprise, like multi-storefront which just disqualifies them from certain opportunities, so we’ll see them a little bit more in that arena. Switching to us, I would highlight as indicators of just how powerful our platform is and what we can do, some of the merchant launches that we announced this quarter. Just taking the apparel category, there were three really extraordinary ones that showcase our strength in enterprise. Harvey Nichols is the iconic leading luxury department store in the U.K. They went live with a really beautiful digital transformation that takes full advantage of buy online pick-up in store. You can actually look up what inventory is in each store, they have the ability when they have just one size of one item in one store, to know that, ship that from the warehouse to the consumer if the consumer isn’t picking up in store. It’s a really great use case. White Stuff, you may not know them here in the U.S., but they’re almost 150 stores across the U.K. and Ireland. That’s a phenomenal transformative best-in-breed composable implementation using partners of ours - Vue Storefront, Amplience for CMS and Adyen for payments. They went live with that full transformation in an extraordinarily fast time, and they loved getting up on stage and saying how easy it is to do headless with a best-of-breed implementation, you just pick the right platform and the right partners, which White Stuff did.  Then Coldwater Creek is a great American apparel brand, it’s been around since 1984, so almost 40 years. They did a full transformation with us as well, and these are just great examples of how the commerce is not limited to very simple use cases or direct-to-consumer companies, but really some of the leading store-based retailers and longstanding apparel brands and being able to digitally transform themselves in a way that works with their business models and legacy systems.
DJ Hynes: Yes, okay. I appreciate the color there. Then a second question, the message is very clear that the focus is going to be on efficient growth, I mean, obviously [indiscernible] today, but it also coincides with your bringing Steven in to drive alignment and improvement in the go-to-market organization, which you touched on. Any worry that this cost efficiency hamstrings his ability to effective change in the organization?
Brent Bellm: No, it’s the opposite. If somebody comes in and has a really transformative, successful, proven playbook but doesn’t have the opportunity to make major change organizationally, that’s what hamstrings them. It so happens that by doing this restructuring across the company, we have taken out layers and we have done far more organizational actual restructuring, actual optimization than we did a year ago, when it was largely just efficiency and cost reductions. Steven is actually making the structural changes in customer support, in marketing, in sales, and bringing things together around ownership in ways that wouldn’t have been possible before, so I think he’s liberated by this. As hard as it is to say goodbye to great longstanding contributors, including a number of senior leaders who are responsible for getting us to where we are today, this is really an important launching point for the future, where we’re going to enter next year with the structure and the team in place to implement these go-to-market improvements. It’s very helpful in that regard.
Daniel Lentz: And let me build on that point just a little bit. What I would also add, what we have done in the restructuring and the costs associated with that, the cost savings is a reflection of the form of the restructuring. We are not taking out so much cost that we believe that t this is going to hamstring our ability to re-accelerate revenue growth and really have this be a profitable fast-growing company. Like I said earlier, this model reflects a lower cost of acquisition by focusing on expanding existing customers. We are still going to be investing significantly in continuing to move up market in mid market and enterprise. The cost savings here is really a reflection of the restructure, it’s not a reflection of our intent or desire to pull back on our efforts moving up market and our commitment to expanding revenue growth. That’s a long term commitment and something we’re very, very focused on
DJ Hynes: Okay, makes sense. Thank you guys.
Operator: The next question comes from Raimo Lenschow of Barclays. Please go ahead.
Raimo Lenschow: Hey, thank you. Could I stay on that subject for one more second, one more question? How do we think about the pace of customer acquisition? If I look at your enterprise additions in terms of new customers this quarter, it was probably lower than we’ve seen for a while. Is that part of the new strategy and that’s kind of the new run rate we need to think about as you think about more going back to the installed base? Can you just give us some guardrails there maybe? Thank you, and then I have one follow-up.
Daniel Lentz: Yes Raimo, thank you for the question. I’m glad you asked that. I’d like to clarify that a little bit in terms of the adds. The number of adds is a net number. If you look at where we are at this point in the year, we’re not at the revenue numbers or the growth numbers that we wanted going into the year, but we are very close to where we expected to be from a new customer point of view. What we’re really seeing in that number is more of a reflection of macroeconomic conditions, especially on some of our smaller mid market customers where they’ve had to take some decisions, either in cost cutting or they’ve cancelled projects potentially, or if they have a site that hasn’t been profitable, very analogous to some of the cost savings things that we have been doing as well. If I look at the pace of net adds, obviously it was not as much there as we would normally want to see sequentially, but that was more driven by some of the macro conditions with existing customers than it is the pace of adding new customers, which again is not quite where we wanted it to be at this point of the year, but it’s more of a reflection of the macro than it is pace of new customers. Is that helpful, Raimo?
Raimo Lenschow: Yes, that’s really helpful. Then maybe one follow-up for Brent. As you think going forward and you keep pushing up in the mid market, what do you see in terms of willingness of customers to kind of move on, because you obviously go against Magento, [indiscernible] more. You know, some of those systems are getting pretty old, but it’s always tough to change systems in an economic downturn. What do you see in terms of maturing of that market or getting ready for that market to kind of move onto more modern [indiscernible]. Thank you and all the best.
Brent Bellm: Yes, thanks. It’s easy to see from [indiscernible] or others that Magento has been in a--and Adobe have been in a decline in terms of merchant count for probably three, four years now, but they start from such a large base in the hundreds of thousands, really multiples of our own merchant count, that we’re a long way from all of those who once anchored on on-premise software getting of it into SaaS, and they all still want to do that, and many of course will unless they’re so customized and require so much flexibility that they simply have to have the code on premise to modify it all. There’s going to be a lot of exits for years to come and migrations off of various versions of on-premise software, including Magento.  Salesforce, it’s harder for me to tell. I don’t have direct visibility. I think the challenge is demand, where when it was an independent company, was truly a market leader and Steven Chung played an instrumental part in helping them become that, and then since Salesforce has bought them, the organization’s been split up, the pace of innovation has been slow, they definitely don’t have modern capabilities like GraphQL across their infrastructure, and so companies who choose them are doing it based on an aggregate, I think, Salesforce relationship, and so there are advantages to that as opposed to the platform itself being market leading, and that’s a great place for us to compete against.
Raimo Lenschow: Okay, perfect. Thank you.
Operator: The next question comes from Koji Ikeda from Bank of America Securities. Please go ahead.
George: Hi, this is George on for Koji. Thanks for taking my question. I was hoping to talk about in light of the restructuring, and then could you also speak to maybe other changes in the go-to-market function and how that’s shaping how you’re going to market with enterprise customers, whether that’s changes in incentives or things of that nature?
Brent Bellm: Yes, I’ll take that. Let me start by saying the foundation for our new go-to-market model is customer success, customer ownership all the way through from the presale and sale process to implementation, to post implementation, then relationship building and up-sell and cross-sell. Historically we had organizational silos between marketing, sales and customer success - it’s all now part of one organization, and the AE and the solutions engineer who sell a customer are going to retain not just customer ownership through implementation and post implementation, but also the actual metrics, right? We are changing the metrics for ownership to include retained account ownership, they’re responsible for net retention, that meaning you suffer if there are downgrades or churn and you benefit when there is up-sell, cross-sell, etc., account growth in terms of volumes. That’s really important, so I’ve gotten to the cross-functional ownership of customers and customer success as a foundation, land-and-expand including the metrics that will go and stay with sales, and customer support in that.  I talked a lot about value selling, and so this doesn’t go to metrics that we manage our employees with, it instead goes to the metrics that we put on our website and that we incorporate into the sales process with customers. I would really emphasize that as we analyze our own enterprise customers across the company, they do have site-wide conversion that is 34% above the internet average in Q3 - that’s extraordinary. Checkout conversion of 61.4% in Q3, that is far above any stated benchmarks for the internet and competition. The Feedonomics statistics of 10% to 20% sales traffic and conversion lift through the leading omnichannel ad networks and marketplaces that merchants use, we’re really bringing statistics into the sales process and into how we optimize our own product and service delivery to the benefit of our customers. A final point I would say is, historically, we’re much more of an inbound-oriented sales company, and going forward Steven’s bringing his excellence in outbound in sort of hunting and knocking on doors, in opportunity creation by the sales team, and what was really magical in the Demandware days is the way they brought their own existing referencible happy merchants to industry events and to sales opportunities, and that’s a part of the playbook that we want to leverage ourselves because we do have really great customer happiness and success. I’ll just conclude this point by going back to two of the recent awards that were in the earnings script - one was IDC giving us a SaaS C-Sat award in digital commerce, and then--so that’s for real quotable enterprise customers, and then Trust Radius for the fourth straight year naming us top rated, which is our merchants going and saying on Trust Radius that they love our service. We haven’t historically brought those happy merchants into the event and sales process the way Steven and Demandware did back in the day, and we’re going to do that here. Thanks.
George: Thank you, that was very helpful.
Operator: The next question comes from Parker Lane of Stifel. Please go ahead.
Parker Lane: Hi guys, thanks for taking the question here.  Brent, you called out certain new customers pushing launches into 1Q after the holiday season. I’m curious, is that simply a cost dynamic, perhaps trying to save money on the services side, or if there’s something else at play there.
Brent Bellm: No. These customers are so large that they were nervous about doing something--you know, doing a launch a month or two before peak holiday season. It was just their own sense of we want to be 100% ready, have 100% of all, you know, sort of regressions tested, every bit of functionality ready to rock and roll, and let’s just manage through the holiday season, nail it and then launch in January, so the hope and expectation is that’s what happens.
Parker Lane: That’s all from me, thanks.
Operator: The next question comes from Samad Samana of Jefferies. Please go ahead.
Jeremy: Hey guys, this is Jeremy on for Samad. Maybe on the macro weakness, has that worsened at all from the close of the quarter through October or November, and can you talk about what you’re seeing there?
Daniel Lentz: Thanks for the question, Jeremy. I’d say no. I’d say it’s been pretty consistent. We have seen--the dynamics that we talked about in the prepared remarks, I think we’ve seen pretty consistently across the year. I’ve been paying attention to different results that have been coming out from peers as well, commentary from economists and banks and the like. I’d say it’s pretty consistent. We’re not seeing things getting worse, but we’re also not seeing things get substantially better, which is part of why we put in our remarks and our early outlook for next year that we are basing our plans on the expectation that we need to run the business in similar conditions to what we’ve experienced this year. What I would add on top of that, and something that I’ve been pretty pleased about, is just from a financial management point of view, we’ve really positioned ourselves very, very well going into next year, I would argue from a macro point of view. The way that we are approaching billings with customers, the way that we are managing collections, the way that we are handling costs. We’ve gotten to profitability a quarter earlier than we expected without hitting some of the top line goals that we set as a company at the beginning of the year, and that’s just been through really tenacious cost management and discipline in how we’re running the business, which is something that Brent and I made a point of stressing throughout the company, throughout the year, and we’re really, really proud of the work that our teams accomplished in doing that. What I think that does going into next year, however, is if we’re running our business that way and we’re set up financially such that we can get to the profit expansion we talked about, re-accelerating revenue growth the way that we’ve talked about while doing so in potentially a persistent challenging macroeconomic climate, when we start getting back to our long term growth trends in ecommerce, we’re really positioned with a really high gross margin business to throw off a lot of additional leverage on top of that, once we start getting back to what I would argue are more normal revenue growth rates for us. I think in a lot of ways, this has been a year that’s been about getting lean, getting efficient, and weathering through some tight conditions that we expect to continue going into next year, and I’ll be pleasantly surprised if it gets better a little faster than we’re planning.
Jeremy: Got it, that’s useful color. I guess on a previous question, I had the same one, maybe asked a slightly different way, can you size the impact of those pushed deals on the quarter, and is there any chance of them getting pushed out further than 1Q?
Daniel Lentz: I’d say it’s probably around a point of growth, maybe a little bit less than that, not so material that it would have dramatically changed the quarter necessarily. It’s material but--I mean, it matters but it doesn’t change the overall themes of the quarters. Could it push potentially? Sure, that’s possible. We don’t anticipate that, but we’ll see how things go with these particular customers once we get out of the holiday period. The larger point is we want to make sure they are ready and they are successful when they go live, and if that’s a month later than I would want as the CFO, if that’s what’s right for the customer, that’s what we’re going to encourage the customer to do.
Jeremy: That’s useful color. Thanks guys.
Operator: Our next question comes from Maddie Schrage from Keybanc Capital Markets. Please go ahead.
Maddie Schrage: Hey guys, thanks for taking the questions. I was just wondering, my first question is could you guys comment a bit on what you’re seeing in terms of consumer spending starting in 4Q, a bit between October and November that you’re seeing so far? Thanks.
Daniel Lentz: Yes, I’d say overall it’s been steady. It hasn’t been--I think what we’re seeing is for the most part pretty in line with what ecommerce prints that I’ve read in general have been putting out. I’d like to see it a little bit stronger, obviously, compared to where we wanted it to be going into the year, but I don’t think that the trend is getting any worse. I think it’s been pretty consistent with where it’s been throughout the year. We’re cautiously optimistic going into the holiday period, but honestly, until we get through Cyber Week, you really can’t read too much into what’s going on in October. You really need to get to the end of November.
Maddie Schrage: Super helpful, and then my second question for you guys is could you talk a bit about some of the characteristics of the businesses that you’re seeing, that are slowing their implementation or dropping off completely? I know you guys have mentioned that some of it’s some of the smaller businesses, but wondering if also some of the larger enterprise businesses are in that mix. Thanks.
Brent Bellm: For downgrades, the most common scenario is a customer who came on with us in the go-go years of 2020 and 2021, where the pandemic had the economy shut down and there was a temporary over-indexation to ecommerce, for all the reasons we understand. They negotiated contracts with expectations of certain volumes, and of course the higher the contract you negotiate, the lower the cost per transaction per order, and now as we’ve gotten a couple years since then, for those companies who happened to negotiate something that was significantly out of line with the realized volumes, the thing that all companies are doing in and out of ecommerce is going back and looking at their software and renegotiating. BigCommerce wants to always do right by our customers, and when they come to us in those circumstances, we’ll work with them in the spirit of partnership and typically renegotiate in a way that is also favorable to us. They might get the average monthly cost down, but we’ll get advanced prepayment as we improve our free cash flow and the efficiency of collections, maybe it’s with an increase in revenue per order on our side, but that’s the most typical scenario for a downgrade. The most typical scenario for churn are companies who also in that period contracted to launch a site, and now in their own profit and loss management realize, hm, maybe I’m better off not launching that site and going through the cost not just of the implementation, but then the whole operation, organization to scale up an ecommerce enterprise, they just decide it no longer fits within their P&L for this year, or some companies who’ve launched a site years ago are looking at the profitability of that operation and saying, the profitability isn’t there and I’d rather not own it.  Very, very rarely do we see churn from a live site to a competitor - that is still a very rare exception, and it’s our hope that the downgrades and the churn that we’re seeing are in some ways a temporary reflection of the state of the economy, and the backlog of some of these contracts that were signed a couple of years ago, when companies just over-forecast their own volumes, and if those cycle through and return down to more normal trend lines for downgrades and churn, then that would do wonderful things for our ARR growth rate, so we’re hoping that happens but not factoring that into our forecast in the near term.
Maddie Schrage: Very helpful, thanks guys.
Operator: The next question comes from Josh Baer from Morgan Stanley. Please go ahead.
Josh Baer: Thanks for the question. It sounds like efficiency is one of the main factors that’s driving that change in focus a little bit toward existing account expansion. Just wondering if that’s a permanent shift, even if the macro environment got easier and you eventually saw sales cycles improve and growth accelerate, or is it more of a temporary reaction to the current environment and around efficiency?
Brent Bellm: I think efficiency is one aspect. Effectiveness is the bigger one. Steven really had at Demandware the most effective go-to-market of arguably any enterprise ecommerce platform in history. They were really, really at anchoring on customer success first as the foundation at Demandware and then building land-and-expand off of that. It aligns the company processes and interests with those of the merchant. There’s no gap in that focus on customer success between sales and go-live, and that’s a real partnership between us and the customer. I believe that these changes are absolutely permanent and will be quite effective, because they’re proven in ecommerce and they’re proven across enterprise B2B software companies. We’re not doing anything that is earth shatteringly new, this is just an evolution, and the final stage of evolution of a company that originally began as an SMB-focused company and shifted to mid market and enterprise, and this is the final step of bringing true enterprise excellence in go-to-market to our organization, so it’s permanent, I think.
Josh Baer: Got it, that’s helpful. Then is there an amount of time that’s needed for Steven and the teams and the up-sell motion to be in a place that’s kind of ready to deliver? Is there still an investment and training path ahead?
Daniel Lentz: Yes, we expect it’s going to take a couple of quarters to kind of make some of these adjustments. These things don’t necessarily happen and change overnight. We’ve factored that in when we’ve kind of given a first look on how we’re thinking about 2024. We’ll be able to talk a lot more in detail about this in February, but yes, it’s going to require some new training but we have a really good team here that’s long tenured, that we are really excited about, that I think is really going to be able to really thrive in this. We think that that is going to play itself out in our numbers in acceleration and good things for next year. We’ll need some time, but it’s normal over time.
Operator: The next question comes from Brian Peterson of Raymond James. Please go ahead.
Brian Peterson: Hi, thanks for taking the question. I’ll keep it to one.  It sounds like the Feedonomics deals this quarter were--or the bookings were pretty strong. I’d love to get an update on that cross-sell opportunity or maybe how penetrated Feedonomics is into the base, and how do you think about that cadence of potential cross-sell going forward? Thanks guys.
Brent Bellm: The opportunity is huge, and we’re still relatively early days. One of the things I like a lot about Steven’s mindset coming in is he is absolutely chomping at the bit to go from solid but still modest penetration to very high penetration. When he was at Demandware, it was a one-product company. All they had to sell was Demandware, and when he came in, he’s like, I’ve got at least three massive products to sell: a BigCommerce subscription, a Feedonomics subscription which helps companies grow their top line through all major ad and marketplace channels, and then partner solutions, especially payments and shipping. Makeswift now makes a fourth as we’ve added that, so that’s going to be a big focus in his revised go-to-market model in really encouraging us and every one of our material mid market and enterprise customers to explore the advertising channels and/or the marketplace channels that are most important to each merchant, doing consultations on what Feedonomics might be able to do to lift their top line traffic and sales generation through those channels, and helping those merchants to figure out how to optimally adopt Feedonomics, so big potential upside still there.
Brian Peterson: Thanks Brent.
Operator: The next question comes from Mark Murphy of JP Morgan. Please go ahead.
Mark Murphy: Hi, thank you very much. Brent, I’m interested in how widespread is the trend of accepting lower pricing in downgrades that came up a moment ago. If you could just help us to quantify the number of customers engaging in that, and what is the percentage change you’re seeing in the pricing you’re getting post downgrades?
Daniel Lentz: Mark, this is Daniel. I’ll take that one. We haven’t shared the exact number of customers that are impacted by that - those are specific to those merchants and those contracts. What I would say, we saw the sharpest impact of this in Q2, we’ve seen a moderating impact of this in Q3. Where we’ve seen adjustment, it varies - it could be anywhere from the maybe 10% to 20% difference in price. It’s not that we’re having situations necessarily where the volumes were dramatically off, it’s just the trend line has been a little different than where in some cases customers expected them to be when those agreements were signed during the pandemic.  But what we’re seeing is really good success in retaining those customers and landing in a place where we actually have stronger agreements with those customers when we come out of that. We’ve worked with the customers to help them save money, which is important to them. They’ve worked with us in getting to a place where we have better prepayment terms, and we’re always going to make sure that our pricing is set based upon volumes, so if you’re committed to lower volumes, you’re not going to get quite as advantageous a discount. But these are normal back-and-forths that are--we’re always going to have these types of discussions with customers. When we sign customers, this is a multi-year commitment that we’re making to the success of their business. When I look at the trend line on that, it has been a meaningful impact on the year, but it’s one of two or three ways that we’re seeing the macro play out in the business, but we’re seeing improvements in that and kind of a lessening impact There’s only so much of this that you need to kind of get through your base when you’re making these adjustments, so we factored that into our outlook for next year. But this isn’t something that is--you know, it’s one factor we’re looking at when we think about planning next year, but it’s not something that’s necessarily keeping me up at night at the greater expense of anything else that we’re thinking through. 
Mark Murphy: Okay, yes. That makes sense. Then as a follow-up, I’m wondering if you could just look a little deeper on how you’re reading the health of the consumer in this lead-up to Black Friday and Cyber Monday, because--you know, are you expecting it’s going to be a little tougher season than last year and then pre-pandemic in the context of--you know, we have the student debt loan moratorium ending, there was the autoworkers strike, you’ve got the credit card delinquencies increasing, there’s some bankruptcies that are rising. I think you sounded a little more--maybe a little more calm on that topic than I might have thought, so how are you--what are you factoring into the forecast here for Q4 along those lines?
Brent Bellm: This is Brent, and as a humble economics major 30 years ago, I would say in my 30-plus years of following the American consumer, I would say that there is nothing on planet Earth more consistently powerful than the American consumers’ desire to maintain their living standards and continue spending through economic ups and downs. In every recession we have had, the American consumer has kept spending and kept being the engine of health, not just to our economy but the global economy. That’s happening right now in a high interest rate, high inflation environment, so the American consumer generally stays strong and keeps spending. Now, the big question for us is how much of that spend if offline versus online, and what we have seen since the reopening of the economy is that there is significantly above-trend line growth in point of sale and offline spending, and below trend line spend in ecommerce. We’ve been single digit, call it 6%, 7% year-on-year U.S. B2C ecommerce growth now for the last, maybe it’s two years running, and the trend line before the pandemic was in the 12% to 15% growth range every year, so ecommerce has not been the beneficiary of consumer strength, store-based retail has been for the last year and a half plus.  What are we assuming? No real break in trend line for Q4, and we’re being similarly conservative going into next year. We hope that there can be surprise to the upside on that, but we’re not banking on that. We’re staying conservative.
Mark Murphy: Understood, thank you very much.
Operator: Our next question comes from Ken Wong of Oppenheimer. Please go ahead.
Ken Wong: Fantastic, thanks for taking my question. With this pivot to trying to drive growth in existing customers, I’m wondering if you could maybe give us color in terms of what percentage of customer expansions historically has been driven by moving up utilization bands versus penetrating across more brands and regions with those existing customers, and then any rough sense of what your penetration of your customers’ total GNV might be at this stage?
Daniel Lentz: Hey Ken, I would say the majority, substantial majority of expansion historically for us has been based on organic growth in those customers and the amount of orders that are coming through the platform, number one. Number two is through adoption of more partner products with favorable economics towards BigCommerce.  Where we have not had as much expansion in the past, which is atypical, I would say for B2B SaaS, is through product adjacencies or owned and licensed products. The issue that Brent was talking about in terms of the ability to cross-sell Feedonomics, or now Makeswift or these things, it’s been much more you lay in the customer, that customer organically grows. We’ve had some success in expanding regionally with those existing customers, but we have a lot - a lot - of upside available to us in taking our core product to additional brands or additional businesses under the parent companies of the stores that we have, selling other products. I would say when you look at the, quote-unquote, normal playbook for what cross-sell and up-sell looks like within B2B SaaS, a lot of that I really see as greenfield ahead of us as a business. We’ve had strength in the past due to organic expansion with our customers, but we have a ton of upside in very efficient lower cost of acquisition revenue growth that we can see in this business by adopting this model, which I would really say--I don’t know that I would even characterize it as a pivot, I would characterize is as an evolution that is representative of our move-up market. Like Brent said, our roots on the small business side of things, you bring in a small business customer, you’ve landed that customer and they grow organically, that’s a very different motion to acquiring a brand with Procter and Gamble and then cross-selling into all of the other brands underneath the umbrella of Procter and Gamble, as an example.  When we talk about this internally with our organization, this is not an about-face or a change, this is a continued evolution and a culmination of our move up market, and positioning our go-to-market functions in line with the strategy that we’ve taken with the product over several years, so I don’t think that this is a change. I think that this is something that is going to be very successful and is going to really allow us to accelerate revenue growth in an even more leveraged profitable way, that gets me really, really excited as a CFO.
Ken Wong: Got it, okay. Appreciate the color there. Then maybe if you could just add a little color in terms of how the demand environment might have progressed over the last few months. I think a lot of your software peers, they noticed kind of end of September through October, things materially dropped off. Just wondering what you guys saw during that same stretch.
Daniel Lentz: I wouldn’t say that we saw anything all that different in September or October versus what we’ve seen at other points during the year. Like we said in our prepared remarks, we’ve seen macro in general as a bit of a headwind for the year and a number of different ways that it’s manifested. We’ve offset that by really tight financial discipline and the way we’re running the company. I don’t think that I’ve seen anything or heard anything that makes me feel like it’s getting materially better or worse, based on the last couple of months. That’s how we set guidance for Q4, and that’s how we’re planning financials for next year as well. 
Ken Wong: Thank you very much.
Operator: Our final question today comes from Chris Kuntarich of UBS. Please go ahead.
Chris Kuntarich: Great, thanks for taking my question. Maybe just following up on that last point, just to be clear, as we think about that high single digits to low double digit guidance range versus where we’re at in 4Q, at that 10% to 16% year-over-year revenue growth, should we be thinking about maybe just specifically on the macro and enterprise opportunity? Should the high end be--we be thinking about that as a continuation of the current macro environment in the low end would be getting worse? Just any more color you can share, kind of how enterprise would be fitting into that structure and your initial thoughts. Thanks.
Daniel Lentz: Yes, good question, Chris. What I would say is when we’re talking about numbers for next year, we’ll set guidance officially in February. Our intent in providing those numbers was really just to help everybody understand how we’re thinking about internal planning for next year.  To your point about what macro conditions are embedded in that range, what I would say is kind of the midpoint of those numbers reflects a continuation of where we’ve been. If things get a little worse, we’d be closer to the low end of the range; if things get a little bit better, I think we’d be closer to the high end. If things get a lot better in terms of going back more towards the long term pre-pandemic ecommerce growth rates, I think that gives us upside above what we’ve talked about. But we have a long way to go before we get to the February call, when we issue official guidance. We still have to build out our plans. What our commitment is, is to profitable accelerating revenue growth. We are a growth company, we want to do so profitably, and we’re confident that we can do that.
Chris Kuntarich: Very helpful, thank you.
Operator: This concludes our question and answer session. I would like to turn the conference back over to your CEO and Chairman, Brent Bellm for any closing remarks.
Brent Bellm: Thanks. I’ll conclude with five main takeaways from the prepared remarks and Q&A.  The first is we’re proud that in Q3, we delivered our second quarter of positive free operating cash flow, excluding acquisitions, and breakeven adjusted EBITDA a quarter earlier than we guided to the street.  Second, the restructuring that we announced today is being done to continue this path of very rapid improvement in our profitability - again, we’ve added 19 percentage points to our adjusted EBITDA profitability in the last five quarters, and the restructuring positions us to add five to upper single digit growth in our adjusted EBITDA profitability next year, going towards our long term goal of 20% or higher. Third, the restructuring is also really valuable to us organizationally because it both de-layers the organization and implements the structural changes in Steven’s go-to-market playbook for enterprise.  The fourth is that this go-to-market is now going to be able to shift from solution marketing and selling to value marketing and selling, and it’s worth folks really focusing on some of the content of the prepared remarks because the statistics we’re now sharing about far above internet average performance for our enterprise customers on site-wide performance, checkout performance, sales lift through Feedonomics, those are extraordinary statistics and the types of value improvement that really can attract and convert merchants who are wanting to get the best possible performance and growth out of their ecommerce. Then the final point, which seemed to be lost in the Q&A but I want to emphasize, the acquisition of Makeswift and the reference architecture going forward for composable with us, based on Next.js and React, which are the most flexible, high performing and popular framework for web design today, the Makeswift acquisition is extraordinary because it is a true Next.js no-code visual editor that empowers marketers and merchandisers to make changes and manage extraordinarily dynamic user experiences without a dependency on developmental changes. That type of leadership with enterprise capabilities for multi-user editing, publishing workflows and permissions, is a demonstration on how even in a tight financial stewardship for BigCommerce of our own P&L, we are innovating in the ways that deliver the greatest tools and the greatest performance to our merchants, and we’re very excited to talk about that as we bring it to market in 2024. With that, thanks everybody for tuning in, and we’ll talk at the end of the quarter.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.